Patrick Schorn : Good morning, and thank you for participating in the Borr Drilling First Quarter 2022 Earnings Call. My name is Patrick Schorn, and I'm talking to you from Oslo, Norway. With me on the call today is Magnus Vaaler, our CFO. Next slide. Covering the essentials, I would like to remind all participants that some of the statements will be forward-looking. These matters involve risks and uncertainties that could cause actual results to differ materially from those projected in these statements. I therefore refer you to our latest public filings. Next slide. The first quarter, similarly to the fourth quarter, has been very active in the marketing and business development department with good results in ultimate contract awards to Borr Drilling. In particular, the long-term contracts in the Middle East and Asia, which has brought our contractor's fleet to 20 rigs out of a total of 23 rigs.  During the quarter, we have prepared and put in operation several new rigs and will continue to do so in the months to come. Overall, we are pleased with our financial performance in the first quarter, marked by a strong top line growth. Taking into account the increased number of rigs we are preparing for future operations. We expect revenues, adjusted EBITDA and cash from operations to show solid increases in the next quarters both as a result of these rigs commencing work, in addition to the rollover of contracts at higher day rates. We reiterate our guidance for 2022 with a revenue between $375 million to $400 million and adjusted EBITDA between $115 million and $140 million. Now based on the development of the day rates we have seen thus far in the year, and our forecast of having our remaining 3 delivered rigs employed by the end of this year, our preliminary outlook for 2023 indicates an approximate doubling of headline revenues year-on-year and adjusted EBITDA to more than double from the 2022 forecast. As the year progresses, we will keep you informed of how these numbers are shaping up in more detail. Magnus will now step you through the details of Q1. Magnus?
Magnus Vaaler : Thanks, Patrick. We are now on the slide key financials Q1 2022. The Q1 2022 revenue came in at $82 million in the quarter, an increase of $12.9 million or 19% compared to Q4 2021. This was split in $63.3 million of day rate revenues for our rigs on regular contracts and $18.7 million of related partner revenue, which is variable to earnings from a very good quarter with high economic utilization in our Mexico joint ventures. The number of rigs trading in the quarter went from 13 to 15 at the end of the quarter, and this number has further increased to 17 as of today. Rig operating and maintenance expenses for Q1 2022 was $55.6 million in the quarter. The increase from the previous quarter is mainly a result of more rigs on contract during the quarter and a $3.2 million increase in amortization of deferred mobilization and contract preparation costs. G&A expenses was $9.2 million in the quarter, and a large portion of the increase from previous quarter can be attributed to a one-off of this lease expense. Total financial expenses were $35.4 million in the quarter, which is an increase of $3.9 million from Q4. The increase in interest expenses were due to an expected step-up in interest rate margins on some of our yard loans as well as an increase in the effective interest rate adjustments. The level of financial expenses still reflects a relatively low capital cost of the company's debt at an average interest rate of 5.5% for the first quarter 2022. Net loss for the quarter was $51.3 million, which is an increase of $4.1 million from Q4. And adjusted EBITDA for the quarter was $21.4 million, a decrease of $3.6 million from Q4. Our free cash position at the end of Q1 2022 was $50.1 million and our restricted cash $8.2 million. The total cash increased by $15.2 million, and as a result of cash proceeds from our January '22 equity raise in Q1 2022 sales under our ATM program of $34 million. We had $3.2 million transfer from restricted cash related to the release of a performance guarantee. We used $14.9 million in operation, which includes $7.8 million of interest payments and cash used on active rig additions and activations, $7.1 million. The total cash received from Mexico in the quarter was $7.3 million versus $18 million in the previous quarter. We do expect a higher cash received to come in from our Mexico operations in June, following an anticipated payment plan initiated by PEMEX. Now back to Patrick.
Patrick Schorn : Thank you, Magnus. Long-term secure and sustainable energy supply to the world is driving oil and gas prices to record levels, which is largely caused by an extended period of underinvestment in the E&P industry. It is unlikely that demand will significantly be curbed by either price or alternative energy sources in the meantime. And therefore, the industry is stepping up to meet the challenge and create the needed supply. This is largely done by significant producers in the core markets, which are generally NOCs or national oil companies. On the graph on the left, you can see the increasing number of rigs deployed in some of these areas. On the right-hand graph, it is even more clear how significant the increase in contracted rigs from the COVID trough to the peak today is. Based on the significant amount of work that is required to boost production over and above the work normally required to keep production constant, we expect to see a very high shallow water drilling activity for the foreseeable future as our customers are called upon to boost production. Next slide. With the increased activity, we have seen utilization jumping and passing 90% for the modern jack-up rigs so far. We expect that within the next month, this will increase to over 93%, which leaves very little, if any, spare capacity, which will have a significant impact on rig day rates going forward. One of the examples of a company stepping up to the challenge and in a very short period of time, increase its activity by impressive numbers is Aramco, clearly, a very significant operator in the Middle East that is requiring a large amount of high-end equipment, including jack-up rigs to meet their ambition. We have seen other operators now following suit with the intention to meaningful increases as well. Next slide. With the current demand for jack-up rigs rising, we expect to see the contracted rigs exceed the 400-unit levels soon, focusing more precise on modern rigs then we expect that demand is about to outstrip supply. As you can see on the right-hand graph where it shows that about 35 rigs could be made available in the market, plus 10 new builds. Subtracting from that, the units that we deem uncompetitive due to sanctions, geographic location or of designs, we arrived to approximately 24 rigs being available when the visible or known demand is in excess of 30. With all of the indicators pointing in the right direction, it makes for the offshore industry being fast growing once again and returning to day rate levels where considerable earnings can be generated.  Magnus will give you some further insight into our fleet status and the cash generation potential.
Magnus Vaaler : Thanks, Patrick. Year-to-date in 2022, the company has been awarded 10 new contracts, extensions, exercise options and LOAs, representing approximately 4,200 days and $487 million of potential revenue, which includes mobilization revenues but excluding options. Since the last report, the company secured new contracts and LOAs, increasing the company's contracted and committed fleet to 20 units, which is represented by 3 in West Africa, 3 in the North Sea, 3 in the Middle East, 6 in Southeast Asia and 5 in Mexico. The added backlog in 2022 represents 11.6 years of backlog. But during the year, our operating rigs have consumed approximately 5.9 years of backlog. This means we are continuing our backlog replenishment ratio of multiple of 2, which is similar to 2021. We remain optimistic about securing contracts and improving commercial conditions for our rigs rolling off contract in 2022 and into 2023, and we also maintain our previously stated target of having all our '23 delivered rig contractors by the end of this year. Next slide, please. Now one of the most valuable aspects of Borr Drilling remains that we have the ability to start generating a large amount of cash once we get all our rigs working. This slide, which we also had in our last quarter presentation, shows the high cash generation potential of the company at various day rate levels. In the last quarter presentation, we refer to day rates then currently at around $80,000 per day. Recent awards in the market is in the area of $100,000 per day, and it shows a potential cash flow EBITDA generation of around $300 million per year with the 20 rigs that we now have working. With the entire fleet of 28 rigs working, this number increases to more than $400 million. And furthermore, this potential almost doubles with a $40,000 per day increase in day rates, which is close to the 20-year average day rates. It's very encouraging to see the market rates moving at the pace we are currently seeing and have surpassed $100,000 per day, and we remain confident that the rate increases continues. Back to you, Patrick.
Patrick Schorn : Thank you, Magnus. So in conclusion, 20 out of the 23 delivered rigs are contracted, and we have the remaining 3 rigs involved in several ongoing tenders already, our operational team continues to focus on getting the additional rigs activated as efficiently as possible and continue to deliver a top-tier service to our customers in the field.  The market for modern rigs is tightening further and our modern young fleet proved to be a significant competitive advantage. As such, we remain confident that all the 23 delivered rigs will be contracted by year-end 2022 at accretive day rates. Our refinancing process is ongoing, and we are in discussions with our lenders with a view to complete the refinancing before the end of the second quarter. Given the strong market fundamentals, multiple options are currently on the table in order to address the maturity profile of our debt position and provide a long-term financing solution. Some of these options include straight debt solutions, while others involve certain asset sales, of which there is ample interest in our fleet at attractive prices. We are currently working to improve on all refinance conditions given that the market is rapidly and positively evolving and believe a solution is achievable in the coming weeks. With strong growth in the revenue and EBITDA, our guidance for 2022 is revenue between $375 million to $400 million and adjusted EBITDA between $115 million and $140 million. As mentioned earlier, our preliminary outlook for 2023 indicates an approximate doubling of headline revenues year-on-year and adjusted EBITDA to more than double from the 2022 forecast. With this, we trust we have given you a clear view of our expectations for 2022 and beyond for the business, and I hope you share our enthusiasm when it comes to the upside potential.  Ladies and gentlemen, thank you very much, and we will now go to Q&A.
Operator: [Operator Instructions] Our first question for today comes from Fredrik Stene of Clarksons Securities.
Fredrik Stene: Patrick, Magnus, I hope you're doing well. And obviously, very, very interesting to see how the jack-up market has developed lately, and I think we're definitely on the same page in terms of outlook here and how fast this might move. So I was wondering if you -- maybe you could share a bit more color on -- I'm not asking you to disclose what your bidding is the newest round of tenders here. But do you think or have any idea of where rates could be at the end of the year? And also, do you have any insight in what E&P companies are doing because, obviously, the Middle Eastern guys seem to be up to speed there. They're buying a lot of assets and trying to secure capacity, what's happening, for example, in West Africa and Southeast Asia. That's really the first question. And I'm just going to call it a follow-up. You also have some comments on the report where you mentioned these 2 newbuilds and what you're thinking about them in relation to the third party EBIT?
Patrick Schorn: Yes, Fredrik, let me talk a little bit about the day rate. And as you understand, I'm not too keen to talk too much about particular rates. But I think maybe a good thing to keep in mind is that in order for this business overall to work, we need to get very quickly back to the average rate, which we have seen for the last 15, 20 years. And there you would have to think about the $145,000 to the $150,000 per day that is obviously coming upon us very, very quickly, just to make sure that the investments made in the past are actually returning the appropriate earnings and that we have a return on those investments. I think another thing to keep a very good eye on is on if any new builds are going to be put on order because we all know that, that is going to be significantly difficult as long-term contracts will be required to do so. And I think for that to happen, you would need to have day rates that are probably in the order of $175,000 per day and up with significantly long-term contracts to actually justify an investment of that nature. So maybe take that as some guidelines of where it needs to be going to have a sustainable business. And I think as we've all have seen jack-up drilling, particularly when we're looking at overall shallow water offshore is going to be there for an extended period of time. I wouldn't want to state a number for the end of the year, but I think that we have seen significant increases already in the last few months, and they are maybe more a sign of how low the pricing was then how high it is going to go. I think we're much more going to a normalized level from that perspective. You are right to say that there is a strong concentration at the moment around the Middle East. Clearly, the big movers are there. There is a significant amount of assets that benefit from the type of jack-ups that we have. There are several countries that are playing a significant role in the overall supply of hydrocarbons to customers in the world. And therefore, they are the fastest and the biggest movers. But equally, we are seeing interest in other places. I would say that you can see additional tenders come up for jack-ups in Mexico. We've seen quite a bit of additional demand in Asia as well and the same for West Africa, I would say, maybe in amplitude significantly less in West Africa than maybe the other places. And clearly, the Middle East at this moment is a league of its own. But that's what I would say to day rates and maybe some of the geographical distribution of that. And when it comes to new builds, I think that the new builds that are currently in the yards where there's not many left, and we are having some of those. I would say that it is a small group of rigs that I don't think significantly impact what is going on in the market right now. I mean, one of the key things, and that's what I mentioned earlier to watch is when and if there is going to be new build jack-up rigs, and we all know what it's going to require. That's why I mentioned earlier that would be long-term contracts in about $175,000 per day if you want that to actually start to pay off. So I think that is maybe some of the guidelines I can give as we see them today around day rate and where it's moving.
Fredrik Stene: I was actually thinking on the [new build] side, more on the – you said in your report that Keppel had received, I think, a bid for 2 of them, and that you were planning on taking delivery of those, at least the way I understood it, and that also came with some sort of financing promise in a way. And the way I interpret that would be that it would – it could be viewed as a read-through in terms of how your other financing efforts are going? So any color on that in particular? And also if you are able to say anything more about the structure of any potential refinancing outcome would be helpful.
Patrick Schorn: Yes, that is not a small topic in itself, but let me see if I can give a bit of color on the refinance and talk to you a bit about what you’re highlighting here regarding the rigs under construction, where indeed there was an offer from a third party. So since early this year, we’ve been working through various new scenarios with our lenders. And as you will understand, the rapid evolving offshore drilling market and overall activity increase in the oil and gas industry has a significant impact on these discussions. Maybe as a point of reference, after the yard discussions in December last year, we had an oil price of around $76 per barrel and a Borr Drilling having a market cap of approximately $250 million. Where in comparison today, we are looking at an oil price that increased in excess of 50% and the market cap of Borr Drilling having more than tripled in the same time. Even though none of these external factors are under our control, they do have a significant impact on the refinance discussions, which, in this case, is a very positive impact in that more options are open to us today in aiding the most efficient refinancing for the company. Now in addition to these macro topics, -- we also have had some offers from third parties on our rigs under construction that also have an impact on how we best deal with the refinance. And maybe as a side comment, one could perceive that these types of offers are negative, but I rather see them as a positive confirmation of the value that are high-quality assets have. And clearly, there is also the possibility to use some of this in an overall refinancing process. Now with all these moving pieces, it should be clear that constant reevaluation of the different financing options is required, and that this does have a certain impact on the progress with regard to the discussions with the different lenders. In short, I would like to conclude by saying that we are keen to agree to refinance as soon as it’s possible and get closures with – get closure with all lenders involved in the coming weeks. The company and lenders are keen to put it behind us, and for us to focus 100% again on making Borr Drilling the best jack-up company that it can be. So therefore, Fredrik, to come back on the piece around the rigs. It is clear that there was an offer on rigs that are under construction. That is possible under the contract that we have with the yard. And that provides us with an opportunity to still take the rigs. And it would mean that the rig is possibly coming somewhat earlier than we would normally have expected. Now in the current market, as we have stated before, we expect to be having the 23 rigs that are delivered under contract here by the end of the year. So any rigs that we could get our hands on in ‘23 actually would be very much welcomed. So I would say that at this moment, it works out well for us to be able to get access to some of these rigs earlier. But as I said, all of this, obviously, has an impact as well on the refinancing. And you can see that in 2 ways, there is options where certain assets at a certain moment, you could use to make sure that less future debt is going to be – have to dealt with. But also, in this case, we can be pulling forward some revenue-generating assets, creating additional cash flow in the quarters to come. But as these discussions are fairly fresh and ongoing with the yard, I would probably want to leave it at this in the level of detail that I’m prepared to discuss in the call, if you don’t mind.
Operator: [Operator Instructions] Okay. We currently have no further questions for today, so I will hand back to Patrick for any further remarks.
Patrick Schorn : Well, I'd just like to conclude then by thanking everybody for dialing in. We look forward to an exciting continuation of the journey for Borr Drilling, and we will keep you updated on the progress as we go along. Thank you very much, and we can conclude the call.
Operator: Thank you.